Operator: Welcome to the Forza X1 Second Quarter 2023 Investor Call. As a reminder this call is being recorded and all participants are in a listen-only mode. Your speaker for today’s program is Joseph Visconti, Executive Chairman and Chief of Product Development for Forza X1. Before I turn the call over to Joseph, please remember that certain statements made during this investor call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements on this call other than statements of historical facts including statements regarding the company’s future operations and financial position, business strategy, and plans and objectives of management for future operations are forward-looking statements. In some cases forward-looking statements can be identified by terminologies such as believes, may, estimates, continue, anticipates, intends, should, plan, expects, predict, potential or the negative of these terms or other similar expressions. The company has based these forward-looking statements largely on our current expectations and projections about future events and financial trends that I believe may affect its financial condition, results of operation, business strategy and financial needs. These forward-looking statements are subject to a number of risks and uncertainties and assumptions described including those set forth in our filings with the Securities and Exchange Commission which are available on our Investor Relations website at ir.forzax1.com. You should not rely upon forward-looking statements as predictions of future events. We cannot assure you that the events and circumstances reflected in the forward-looking statements will be achieved or occur. Finally, this conference call is being webcast. The webcast will be available on our Investor Relations website at ir.forzax1.com for at least 90 days. Audio cassette quality is subject to your equipment, available bandwidth and internet traffic. If you experience unsatisfactory audio quality, please use a telephone dial-in option. A question-and-answer session will follow the presentation. Please note that only those that have dialed in via telephone may ask a question. Those listening via webcast will be unable to submit questions and must call in instead. [Operator instructions] I will now turn the call over to Joseph Visconti.
Joseph Visconti: Good morning, everybody. I would like to welcome everyone to the call today. My name is Joseph Visconti. I am the Executive Chairman of Forza X1. We are joined with our President and CEO, Jim Leffew, and Carrie Gunnerson, our CFO, and both will be available for Q&A at the end of the presentation. Our teams continue pushing forward with the goal of designing, developing and manufacturing, sustainable electric boats, that address one of the largest segment of the recreation and marine space, the 20-foot to 24-foot sport boat market for salt and fresh water lakes, rivers and inland waters. Our zero mission electric boats are designed to enjoy a full day of boating with the versatility of fish, pull your kids on a tube, wake surf, cruise or pull your boat up to a sandbar and enjoy the day with friends and family. Today I am going to do a brief overview and update on major milestone accomplishment and then open up for Q&A. We are focused on the production of our F-22 electric boats. We are in small batch production on this vessel [ph] and will continue with extensive testing before we officially begin production producing boats for end-users, customers and our targeted Q1 2024 date. As we have previously announced, our F-22 is reaching speeds of nearly 40 miles per hour. The F-22 has been designed to house over 100 kilowatt lithium battery, combined with our 180 horse peak power outboard motor. This is more than enough power and battery for you and your family to spend the entire day on the water, travel 40 miles to 50 miles at lower speeds, pull your kids on the board, go fast, go slow, cruise and enjoy the day and when you are done, you will pull your F-22 back on to your trailer like any other 22-foot boat. The F-22 can be charged very simply with a 400-hour off-the-shelf level two charger. You can buy it Amazon, Home Depot or Lowe's. If you keep your electric boat in a marina with your shore power, you can buy a $30 adapter from Amazon, plug in your F-22 right into the shore power at the dock and charge your boat. Both the shore power and the level two store-boat [ph] system will take approximately six hours to eight hours and charge your battery pack up to the recommended 85% to 90% and you will be able to use your electric boat the following day. Some of the highlights; to date, Forza X1 has built out three off-shore-style catamarans, two electric bay boat catamaran, one deck boat and three F-22 styled monohulls. In addition, we have electrified two pontoon boats for major national pontoon manufacturer. We recently completed a funding round of over $8 million. This round, we only issued common stock with no warrant coverage. This funding allows Forza to build its North Carolina plant without needing to finance a mortgage or debt. Our North Carolina property has been graded and we anticipate starting construction in the next several months. The plan to electrify our new 22-foot dual console are moving forward and we should have the first electrified DC or dual console no later than Q4 2023. We are continuing to work on a more powerful proprietary motor, designed to increase power output to 300 horsepower. This larger, more powerful outward motor would enhance both performance and increase the maximum range. Once prototype work is completed, our all-new 300 horsepower electric outboard motor will be rigged to one of our boats and begin extensive testing. We are working with one of the largest pontoon manufacturers in the United States. We have electrified two of their pontoon models. The two boats are going through extensive testing and our team continues to meet and share data with executives and engineers of this unnamed company with the goal of selling our electric power system or jointly working together to electrify this company's boats. I am unable to share additional information at this time, but I can say that there was almost 15 companies originally targeted or chosen to electrify these Pontoon and as far as I know, after a year of back and forth with the company and the executives, Forza X1 motor, controller and barracks was chosen to electrify these boats and the company executives travelled to our tax center in Old Fort, North Carolina to ride these electrified pontoons and meet with our entire team. Hopefully there is more to come on this highlight. Forza X1 hosted an electrified launch event this last month at The Ben Hotel in Downtown West Palm Beach. We had nearly 200 people that included Marine EV industry leaders, influencers in the Marine and EV space, shareholders and individuals that place initial orders for our electric boats. Our event can be viewed on YouTube under the Forza X1 Ben Hotel launch events. We had a very cool room downstairs that showcased one of our electric boats. Our Garmin Electronics, our new double stack 300 horsepower motor on the stand, Telematics with our Forza Connect app and then we all moved the 200-plus people upstairs to the ballroom for a full event including the launch of a brand new branding launch video, followed by presentations by myself, Jim Leffew, our President and CEO; Dan Norton, our Chief Engineer and Owen [ph], our Chief Electrical Integrator. The event resulted in some great press, including many articles and milestones to name a few, including the International Boat Industry, IBI News, Boating Magazine, Soundings which is trade-only, screamandfly.com, River Daves Place, BoatTrader.com and recently, there was a podcast that I did an interview on a podcast named Shipshape and we will be circulating the links, but they can be found on Apple and Spotify. OneWater Marine, the largest boat dealer in the United States with over 100 locations has placed an initial order for 100 units of our F-22 boats. Again we feel confident that we will begin manufacturing, distributing these electric boats in Q1 of 2024. And this initial 100 boat order should generate approximately $12 million in revenue for our company. So I'm going to move to some of the financial highlights and then open it up for Q&A. So as of the end of June 30, 2023, our company has cash and cash equivalent of approximately $16,516 million [ph] and our cash burn was $1 million for the quarter. This $1 million included all salary expenses, prototypes, boat production and the purchase of inventory units. So I will now open up for Q&A.
Operator:
Joseph Visconti: Thank you. So we're going to keep it short and sweet today. We will continue to keep everybody updated. Thank you for your time and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.